Operator: Good day and welcome to the CPI Aerostructures First Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. John Heilshorn, LHA Investor Relations Council. Please go ahead.
John Heilshorn: Thank you, Elisa, and good morning everyone. Welcome to CPI Aerostructures' first quarter 2020 earnings call, conference call. With me on the call this morning are Doug McCrosson, President and Chief Executive Officer; and Tom Powers, acting Chief Financial Officer. The earnings press release was issued after the market closed yesterday afternoon. For today's call, a PowerPoint presentation accompanying management's prepared remarks is available for download in the Investor Relations section of the Company's website at www.cpiaero.com. At the conclusion of their prepared remarks, management will hold a Q&A session. As a reminder, this conference call will contain forward-looking statements that are based on current expectations of management and certain assumptions that are subject to risks and uncertainties. There can be no assurance that such risks and uncertainties will not affect the accuracy of the forward-looking statements or that actual results will not differ materially from the results anticipated in the forward-looking statements. Included in these risks are risks related to the restatement of the Company's prior period consolidated financial statements and the material weaknesses in the Company's internal controls, including the substantial costs and diversion of management attention and resources, which will be required to remediate the material weaknesses; any adverse developments in existing legal proceedings or the initiation of new legal proceedings; the effect of economic conditions in the industries and markets where the Company operates, including financial market conditions, the impact of the COVID-19 pandemic, including its impact on global supply, demand and distribution capabilities as the outbreak continues; the financial condition of the Company's customers and suppliers; the cyclicality of the aerospace market; the level of U.S. government defense spending, including shifts or changes in defense spending due to budgetary constraints; spending cuts resulting from sequestration, the allocation of funds to government responses to COVID-19 or changing political conditions and uncertain funding of programs; the ability of the Company -- the ability of the government and the Company's other customers to terminate contracts anytime; production rates for commercial and military aircraft programs; competitive pricing pressures; start-up costs for new programs; technology and product development risks and uncertainties; product performance and costs resulting from changes to and compliance with applicable regulatory requirements; level of indebtedness and cash flow from operations. Additional information concerning these and other risk factors can be found in the Company's filings with the Securities and Exchange Commission. Because the risks, assumptions and uncertainties referred to above could cause actual results or outcomes to differ materially from those expressed in any forward-looking statements, listeners are cautioned not to place undue reliance on any such forward-looking statements, each of which speaks only as of the date made. The Company has no obligation to update any forward-looking statements to reflect events or circumstances after the date hereof. With that, I would like to turn the call over to Douglas McCrosson, President and Chief Executive Officer. Good morning, Doug.
Doug McCrosson: Good morning, and thank you, John. Good morning, everyone. I hope that you, your families, your friends and neighbors are all healthy and well. Today, we are resuming our practice of holding quarterly earnings conference calls after an unfortunately prolonged absence. As you know, on February 14, we suspended quarterly earnings reporting when it was determined that we needed to restate fiscal 2018 financials as well as the first three quarters of fiscal 2019 before completing the audit and filing our Form 10-K for fiscal 2019. We are finalizing our second quarter financial report, and we will release these results as soon as they are complete. We're hopeful that we will be current with the SEC reporting requirement with the filing of our third quarter results sometime in late 2020. I'm going to devote my prepared remarks today to our first quarter performance, record defense backlog, our near-term priorities and other factors that give us confidence that we will deliver revenue growth and improved profitability for 2020. Tom will provide you with a detailed review of our financial results for the first quarter and the terms of our new amended credit facility. And then, I will offer some concluding remarks before opening the line to your questions. Starting on Slide 4. Item one is a summary of our first quarter results. As I hope to make clear in my prepared remarks this morning, we believe that these results are not indicative of our expected performance for fiscal year 2020. The first quarter decline in revenue was largely a matter of timing as we had significant revenue in the first quarter of 2019 for our Next Generation Jammer Mid-Band pod we produced for Raytheon Technologies. The engineering and manufacturing development phase of the NGJ Mid-Band pod program was virtually complete by the end of 2019, and there was little revenue for this program in the first quarter of this year. CPI Aero has recently begun the system development and test phase of the program, and we expect that this will be a strong revenue program during the second half of 2020. Additionally, revenue declined as our commercial programs had lower demand even prior to the COVID-19 pandemic that subsequent to the end of the first quarter, resulted in deferred and canceled orders for certain business jet programs. An unfavorable product mix also negatively affected margins during the quarter, created largely by the reduction in the NGJ Mid-Band pod program revenue mentioned above. We also revised our estimate for our factory overhead rate for 2020 that had a cumulative catch-up effect on program profitability that resulted in a gross profit of 4% for the quarter. We expect that margins will trough in the first quarter of '20 and that full year 2020 gross margin percentage will be higher than it was in 2019, as our product mix for the remainder of 2020 returns to a more favorable mix between commercial and defense programs. Despite the reported GAAP net loss, our continued focus on working capital management resulted in an improvement in cash flow from operations of approximately $900,000. Moving to the second bullet on that page. Since the beginning of the year, we have announced $77.4 million in new firm orders, reflecting our consistently strong performance on high-quality, multiyear defense programs. On the E-2D program with Northrop Grumman, we received $48.1 million in new firm orders for wing kits and $4 million in firm orders for welded assemblies. We have received $1.2 million follow-on order from Lockheed Martin for F-16 structural assemblies, $14 million in new purchase orders under our A-10 re-winging contract with Boeing, and we received $10.1 million in purchase orders from the U.S. Air Force for T-38 modification kits. By leveraging our established and long-standing relationships with the largest aerospace OEMs, we ended the first quarter with a record total backlog of $556.3 million and a record $499 million in defense backlog. As a result of strong bookings during the quarter, book-to-bill for the quarter was 4.7:1 and is 2.2:1 for the trailing 12-month period. We ended the quarter with a funded defense backlog of $206.4 million, up $69.4 million since December 31, 2019. The largest programs in this funded backlog are the E-2D wing panel kits we supply to Northrop Grumman, the A-10 assemblies we built for Boeing and our Next Generation Jammer Mid-Band pod program we performed for Raytheon. Turning to Slide 5. As you can see from the line chart on the right side of the slide, we are reaping the reward of successful execution of our strategy started around three years ago to concentrate on building our backlog of long-term defense programs. We have seen a $165 million spike in our backlog of long-term defense contracts over just the past four quarters. As a result, 90% of our backlog as of March 31 consists of multiyear defense contracts. However, our commercial business has been facing headwinds from the global COVID-19 pandemic and from order cancellations and deferred deliveries. Our backlog of commercial contracts decreased $7.9 million to $57 million as of March 31, with the funded portion decreasing $6 million to $4.7 million due to reductions in order quantities on the HondaJet and Gulfstream programs. After the end of the first quarter, Triumph Group canceled nearly all open orders with us, decreasing the G650 leading edge backlog by an additional $3.6 million. In May, Triumph Group announced it had reached an agreement in principle to sell the G650 Wing program to Gulfstream Aerospace. We have begun to receive communications from Gulfstream that are expected to lead to purchase orders for G650 Wing components. However, the Company is unable to predict at this time when Gulfstream will begin purchasing G650 Wing components from us, if at all or how many. Most of what remains in our commercial backlog are two multi-year program with Embraer. As of March 31, our funded backlog stood at $211 million, of which $206 million were for defense industry customers. The current defense backlog is scheduled to convert to revenue over an approximate 24-month period and is expected to generate in the aggregate positive operating margins and cash flow. Slide 6 displays the broad array of high-value defense platforms we are supporting. On one hand, we have contracts that support legacy aircraft like the A-10, F-16 and T-38. On the other hand, we are working on military programs for technologically advanced systems like the F-35, Next Generation Jammer and other undisclosed pod and missile platforms that are aligned with Defense Department priorities and have CPI positioned for growth and margin expansion in 2020 and beyond. I'll now turn the call over to Tom Powers, our acting CFO, who will walk you through our financial results for the quarter as well as the amended credit facility with BankUnited. Tom?
Tom Powers: Thank you, Doug. I'll start my remarks on Slide 8. As a reminder, results for the first quarter of 2019 are the restated value as found on Form 10-QA filed with the SEC on 25th. Revenue for the first quarter of 2020 was $16.9 million compared to $22 million for the same period last year. As Doug mentioned, the lower revenue was primarily attributable to the Raytheon Next Generation Jammer Mid-Band pod, wherein we had essentially completed Phase 1 development by the end of 2019. We have recently transitioned to a new development phase on this program. In addition, revenue for our commercial programs declined $1.2 million, reflecting continued weak demand for business jets. Gross profit was $0.7 million compared to $2.5 million, reflecting in part an unfavorable product mix as a result of lower revenue on the Raytheon pod program. We also revised and increased our factory overhead rate forecast for 2020 on all contracts to account for the lower absorption of fixed costs, largely resulting from the Next Generation Jammer Mid-Band pod production gap and the anticipated impact of the pandemic on certain commercial programs. This revision resulted in a one-time cumulative catch up on program profitability and pulled gross profit down to 4% for the quarter. We expect full year 2020 gross margin percentage will be higher than it was in 2019 as our product mix for the remainder of 2020 returns to a more favorable mix between commercial and defense programs. SG&A expenses increased 6% to $3.1 million compared to $2.9 million and included approximately $578,000 in non-recurring accounting and legal expenses related to the restatement and the ongoing litigation resulting from the receipt. Combination of lower gross profit and higher SG&A expenses resulted in a net loss of $2.8 million or $0.24 per share for the quarter. Slide 9 presents our balance sheet highlights. Cash and restricted cash stood at $3.4 million as of March 31. Net contract assets and liabilities were $11.1 million compared to $11.7 million as of December 31, 2019. The vast majority of contract assets at March 31, 2020 consist of physical inventory that will be used for the fulfillment of firm orders to customers. Total debt was $30.4 million including $26.7 million outstanding under our revolver. Also, as disclosed in an 8-K filing and in our earnings release for the fourth quarter, on August 24, we finalized an amendment to our credit facility with BankUnited. Under this agreement, the maturity of the credit facility has been extended to May 2, 2022, and $6 million of the outstanding balance under the revolver has been converted to and added to the term loan. As a result, the outstanding principal of the term loan has increased to approximately $8 million, and availability under the revolver has been permanently reduced to $24 million. And as a reminder, in April, we received a $4.8 million loan under the Paycheck Protection Program provision of the CARES Act. We expect the PPP loan to be converted into a grant before the end of the year. I'll now turn the call back to Doug.
Doug McCrosson: Thank you, Tom. Turning to Slide 11, our defense backlog consists of multiyear programs, many of which have life remaining through at least 2025. A few noteworthy programs that we have either won recently or have had extended recently by customers include the following: E-2D Advanced Hawkeye was a second five-year contract for Northrop Grumman, and the potential for additional growth as the U.S. Navy plans an expansion of the program of record and anticipates additional foreign military sales orders. Next Generation Jammer Mid-Band Pod program, this has significant upside as the program moves through system development and demonstration and into low-rate initial production and full-rate production. We estimate this program has the potential to generate an additional $150 million in revenue for CPI Aero over a roughly 10-year production period. A-10 re-wing program, Boeing, the program is just spooling up and a significant portion of the backlog is already funded. T-38 Pacer Classic III TRIM program, we are the prime contractor to the U.S. Air Force in support of extending the life of the T-38 trainer airframe. Program is valued at more than $65 million with orders being placed multiple times per year. And finally, the F-16 Rudder Island drag chute canister assembly, significant growth potential with Lockheed recently announcing a $5 billion deal for 90 aircraft for Taiwan and Morocco, and they've negotiated pricing with U.S. Air Force for additional countries considering the F-16. Turning to Slide 12. In Aerosystems and Aerostructures, we have attractive near-term program opportunities that should allow us to end the year with an increased book of business, particularly for those programs where we're already the incumbent and to sustain momentum in our defense business. Turning to Slide 13. I wanted to spend some time on today's call discussing our outlook for 2020 and our priorities over the next several quarters. First, the pandemic has galvanized our focus on liquidity, cash preservation, and the efficient use of capital. Like many companies, we have experienced supply chain disruptions, higher-than-normal employee absenteeism, and suspensions of manufacturing at some customer facilities. While New York was in lockdown during the spring, our classification as an essential business sustained our defense business but could not cushion us from slowdowns in our commercial business as demand for business jets has all but evaporated, and the disparity and profitability between our defense and commercial programs has widened. In response to these challenging circumstances, toward the end of the first quarter, we took immediate action, curtailing discretionary spending, implementing a hiring freeze and reducing staff. After the first quarter ended, we were equipped to act on new government programs aimed at improving liquidity of businesses impacted by the coronavirus. We qualified for and received a $4.8 million Paycheck Protection Program under the CARES Act, which enabled us to retain our workforce, preventing further job cuts at CPI. We have also taken the opportunity to look at our operations, attacking waste and reengineering several processes to enhance capital efficiency. For instance, we are focused on compressing the cash cycle for each program by shortening build time and more closely managing the flow of materials into our operations. Keep in mind that the cash cycle of our defense programs is better than our commercial business and therefore continuing to increase the mix of defense business will inherently help improve cash conversion. We believe the cash saved from these working capital improvement initiatives, careful control of inventory levels and continued cost management will largely offset the cash we expect pay for non-recurring professional expenses in 2020. Second, through these various liquidity enhancement measures, we intend to strengthen our balance sheet. Our goal is to apply the increased operating cash generation to paying down approximately $2 million of debt in 2020. Third, margin expansion is a key priority for us. As our newer defense programs start to hit our assembly floor over the latter part of 2020, we expect the increased direct labor hours will improve overhead absorption and convert to higher profit margins across our portfolio of products. Higher revenue and the improved payment posture we should have with key supply chain partners could also help improve our buying leverage and over time, lead to improved bill and material costs. Approximately 65% of our direct costs are for materials repurchased from suppliers so even a small improvement can lead to big improvements in cash margin. And by putting behind us this year's professional fees and certain COVID-19-related costs, which combined, we estimate will amount to approximately $1.5 million, we'll have a more typical SG&A cost structure starting in 2021 and be positioned to realize operating leverage on rising revenue. These three near-term priorities will set the table for what we believe will be a much improved 2021, where we project higher revenue improved profitability and cash flow compared to 2020. The goal is to use the increased cash flow to accelerate debt repayment to further deleverage the Company and provide a solid foundation for 2022 and beyond. On Slide 14, using 2018 revenue as a baseline, we are providing our growth outlook for the 3-year period 2018 to 2021 in each of our business areas. In Aerostructures, we started $35.1 million in revenue in fiscal '18. On the strength of new contracts with Lockheed for F-16 assemblies and Boeing for the A-10, we believe this business will grow in the range of 12% to 14% through 2021. The bulk of our commercial revenue are in this Aerostructures business area and as such this growth rate projection has no contribution from potential future orders by Gulfstream for G650 leading edges and it does include the impact of COVID-19 to our other business jet programs. Aerosystems remains our fastest-growing area driven by our electronic warfare pods and electronic systems programs. This is a great niche for us one that we believe can generate growth across the programs indicated at a 3-year compound annual growth rate in the range of 22% to 26%. This is largely driven off of expected increased production of the various electronic warfare and intelligence reconnaissance and surveillance pods we built for Raytheon and Northrop Grumman as well as increased orders for certain BLACK HAWK systems from Sikorsky. In our kitting and supply chain management area at bottom, we started a revenue base of $17.7 million for fiscal '18. We believe that the funded orders we received for the E-2D program and the T-38 program, among others, should produce a compound annual growth rate in the range of 8% to 10%. Before opening the call to questions, I'd like to say in closing that we are now reaping the rewards of our efforts to foster durable relationships with the premier aerospace and defense OEMs and win long-term contracts. Thanks to our high-quality backlog and record funded defense backlog, we are well positioned with the steel business near term. And because we have earned a reputation as an exceptional, reliable supply chain partner, we plan to leverage these relationships to bid on and win new awards, giving us attractive long-term growth opportunities. In fact, our business defense -- our defense business is at the starting block of what could be decades-long programs. Finally, I want to recognize the dedication of our employees, who have risen to the occasion in these past several months to continue their work in service of our country's national security. They have done an outstanding job under difficult circumstances and they have my heartfelt thanks. Elisa, you can open the line for questions, please.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Ken Herbert of Canaccord Genuity. Please go ahead.
Ken Herbert: Doug, I just wanted to first ask around gross margins. Can you provide a little bit -- just maybe a bit more specific on the EACs in the quarter? Sorry if I missed it. And to get to obviously better gross margin this year than in 2019 implies a pretty nice ramp over the second, third and fourth quarters. Can you just talk about the sequential improvement we should expect as we go through growth of the year on the gross margin?
Doug McCrosson: Well, I don't want to specify by quarter, but I can tell you that the cumulative effect of the change in our EACs for the quarter was roughly around $1 million, and so we don't have that headwind in the second, third and fourth quarters. And so when you -- I would prefer to leave it as we've publicly stated, which our gross margin at the end of the year will be higher than '19 without going into how we think that will ramp up over the period, but we would expect our fourth quarter to be the highest gross profit margin quarter of the year.
Ken Herbert: Okay. That's helpful. And I appreciate the detail on the slides. I know obviously, you haven't been able to say much, but as you look at sort of your revised outlook for 2021 is this just to apply these growth rates. I get to revenues next year sort of well over $100 million, maybe $105 million, $110 million somewhere in that range depending upon growth rate. Can you just talk through -- I know you've outlined a lot of these, just maybe you talk through confidence in those 2021 numbers with the backlog and a couple of the key moving pieces as we think about the step-up, obviously, from '19 to '20 to '21?
Doug McCrosson: I can say it's a very high confidence in the growth rate and the derivation that you picked is in line with our own internal thinking at the moment. And I would say that the vast majority of that is already in the funded backlog. So things that could derail that, obviously, a program execution, we have to execute on the backlog and deliver it when the customer wants it but that's just an ordinary risk and the risk of -- always the risk of an order cancellation here and there, but I can tell you that there is not a lot of white space in the forecast for 2021 revenue.
Ken Herbert: Okay. And then just finally, can you just walk through -- I mean, obviously, a lot has happened over the last several months. Can you just walk through maybe some of the changes you've put in place just regarding on the finance and control side as we think about coming out of the restatement? And what you can say that will give investors confidence here moving forward that obviously, all those issues are behind us, and you feel very good about what's in place now moving forward?
Doug McCrosson: Well, as we stated, this was a long and complex issue that we had to address after we announced that we discovered the error. So one of the first things that the Board directed we do and we did do was hire a big four advisory firm with expertise in this particular area to help Tom and the team develop very detailed and complete processes on how to recognize revenue for various types of contracts that we get. That has already been done and we use those to develop the 2018 and '19 restatement as well as, of course, the first quarter. We still have work to do on the remediation side, a lot of training. We still have to get comfortable that the internal controls are tested. So, we have to have time during the year to do those tests, but we're highly confident. And I know our Board is highly confident that the steps that we have in place now are the right ones, and we'll document the remediation effort in future quarterly reports.
Ken Herbert: Okay. And just finally, it sounds like you expect the second quarter results out maybe in the next couple of weeks. Is there anything else specifically that you can say on timing?
Doug McCrosson: Yes, it might be a little longer than the next few weeks, honestly, rather not -- we have until -- October 15th was our deadline to get some of the going to get current. I don't expect that we'll achieve that. So you can probably look towards maybe the end of October, early November-ish for the second quarter and near to the end of the year for the third quarter.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Doug McCrosson, CEO, for any closing remarks.
Doug McCrosson: Thank you, Elisa, and thank you all for participating in today's call. Tom and I look forward to speaking to you again soon when we report on the second quarter results. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.